Operator: Ladies and gentlemen, thank you for standing by. I am Emma, your Chorus Call operator. Welcome and thank you for joining the Fresenius Medical Care Earnings Call Report on the Second Quarter 2021. Throughout today’s recorded presentation, all participants will be in a listen-only mode. The presentation will be followed by question-and-answer session.  I would now like to turn the conference over to Dominik, Head of Investor Relations. Please, go ahead, sir. 
Dominik Heger: Thank you, Emma. As mentioned by Emma, we would like to welcome you to our earnings call for the second quarter 2021. We appreciate you joining today to discuss the quarterly results. Now it is my pleasure, as always, to start out the call by mentioning our cautionary language that is in our safe harbor statement, as well as in our presentation and in all the materials that we have distributed earlier today. For further details concerning risks and uncertainties, please refer to these documents as well as to our SEC filings. We are aware that it is most likely us to keep you away from your weekend. Therefore, we try to keep the presentation short and leave time for Q&A. As always, we would like to limit the number of questions again to two, in order to give everyone the chance to ask questions. It would be great if we could make this work again. With us today is, of course, Rice Powell, our CEO and Chairman of the Management Board. Rice will give you some more color around the business development. And, of course, also with us is Helen Giza, our Chief Financial Officer, who will give you an update on the financials and the outlook. I will now hand over to Rice. The floor is yours. 
Rice Powell: Thank you, Dominik. Welcome, everyone, and happy Friday. I don't remember the last time we did an earnings call on a Friday, but it's almost a weekend, hang in there. Thank you for joining us today. I'll begin on slide four. We continue to deliver organic growth for the quarter, despite the expected adverse COVID impacts. This affected the number of treatments in our dialysis business and compounds in the related downstream assets, as dialysis patients are continuing to be missing in our clinics and they do not need certain of our services, such as vascular access or the pharmacy. And additionally, if they're not in our clinics, then they don't need renal drugs or dialysis products. We continue to see excess mortality further accumulate in the quarter, but at significantly reduced levels as we had anticipated. The second quarter revenue and earnings were both adversely affected by exchange rate effects. Earnings development during the quarter was negatively impacted by phasing and a strong year prior base. This was driven by the CARES Act funding that we received in the second quarter of last year, as you know, to cover the COVID-related expenses from the start of the pandemic. We continue to make good progress on our strategic priorities in the quarter. First, patients in value-based arrangements accounted for approximately 10% of our total U.S. patients with end-stage kidney disease and we have approximately 20,000 CKD patients in value-based arrangements.
Helen Giza: Thank you, Rice. As we moved, hi, everybody, and I hope you're staying well. As we move to slide 12, I'll pick up on the services development. In the second quarter, Healthcare Services delivered growth of 2% at constant currency overall. Organic growth increased despite the negative impact from the pandemic and from calcimimetics, due to the organic growth in the international markets. This was more than offset by negative exchange effects. The adverse COVID on organic growth in Healthcare Services amounted to approximately 240 basis points for the quarter. While down year-over-year in the US, we did see sequential improvement in same market treatment growth. It improved from a decline of  from the first quarter to a decline of 2% this quarter. This shows that the underlying fundamentals are intact. I will now move to the products business slide on slide 13. Our products business achieved 1% organic growth for the second quarter. On a regional basis, both EMEA and Asia Pacific had a solid quarter, with each delivering 3% organic growth. Overall, products' growth in the second quarter was driven by higher sales of in-center disposables in EMEA and Asia Pacific, machines for chronic treatment and renal pharmaceuticals. This positive development was offset, mainly by negative exchange rate effects. The organic decline in North America was driven in particular by lower sales of products for acute care treatments compared to a strong prior year base. Turning to slide 14. For the second quarter, total group operating income amounted to €424 million, which is a decline of 30% at constant currency. The chart on the left, illustrates the contribution from each region, as well as the corresponding regional margins. As we have discussed, we faced an adverse impact from COVID, and we are comparing the Q2 margins against an inflated prior year base.
Dominik Heger: Thank you, Rice. Thank you, Helen for your presentation. I'll hand it over to Emma. Please open the Q&A.
Operator: Thank you. Ladies and gentlemen, at this time, we'll begin the question-and-answer session.  The first question comes from the line of Tom Jones with Berenberg. Please go ahead.
Tom Jones: Hi. Good afternoon or good morning. Thanks for taking my questions. I have two. The first probably one for Helen was just on slide 15, some clarification. The 120 basis points or percentage point -- sorry 120 basis points or it's Friday afternoon -- hit to margins that you saw in H1 from higher costs for labor and supplies. Just to be clear was any of that COVID related, or is it, all of the COVID-related cost item included in the 230 basis point headwind that you talked of. And then secondly a question for Rice on the ES the PPS proposal, not so much about the rates, but about all the other stuff that was buried in there. What should we make of some of the changes or proposed changes to the ETC models? I mean, some of them look helpful, but they don't appear to have addressed some of the key floors in that program. So I'm just wondering, kind of what you thought about the proposals and what else you think you might be able to get done between the proposed rule and the final rule.
Rice Powell: Hey Tom, it's Rice. Helen, why don't you go ahead? I think Tom was looking for you to give some guidance on your slide 15.
Helen Giza: Yeah. Yeah happy to, hi Tom, hope you're well. So to avoid confusion, that is completely separate to any COVID-related increase. That is truly the 120 basis points that you see is truly limited to wage inflation, that we estimate around 3% for that and other increases that we are seeing kind of across the business. That is contemplated in the guidance. I think the watch out for us on inflation is truly these increases that we're seeing and we're calling the macroeconomic more kind of petrochemical lumber things like that that have an impact on our manufacturing costs and freight and distribution. But the 120 basis points that you see here, is in our guidance and normal inflation rates and separate to COVID.
Tom Jones: Okay. Perfect. That's very clear, and then, on the EPS?
Rice Powell: Yeah. Hey Tom, I would say, we've got work to do. We are working on our commentary. I'm guessing, because, we've known each other a long-time. You're poking a little bit at the EPC models. And what are they looking at when they say dual eligible to be preferred within home and transplant. We actually think that's sort of arbitrary. And I think you've got the CMMI folks, looking at that versus the group of people that do the prospective payment work they are two separate groups. And some of it's not logical. I mean, if you think about dual eligible, are they really in the best place to do home therapy, given their station in life et cetera and is that really going to give them the best chance for good outcomes. So I think there's just, socioeconomic questions we have about the way that reads and it doesn't really make sense. So we're still working on it. We do get the sense that there hasn't been a lot of coordination with -- between this branch CMMI and what they're proposing versus where the prospective payment system is and how they look at these things. So we're hoping to connect those dots in our commentary and get a better read on this.
Tom Jones: Okay. That's very helpful. On the subject of models the CKCC model, anything additional you can share with us on that, since the Q1 results?
Rice Powell: Yeah. The only thing -- and I'm happy to share that in the couple of conversations that we've had with Liz Filer, in the spring. They are absolutely committed that we will start January 1. And they're bullish on getting that started and seeing where it goes. So we are taking it at face value and we'll be prepared and ready to go. As you know we have infrastructure and everything we need. So we're looking forward to getting started to that in the New Year.
Tom Jones: Okay. That’s great. I’ll get back in the queue.
Rice Powell: Thanks Tom.
Operator: The next question comes from the line of Veronika Dubajova with Goldman Sachs. Please go ahead.
Veronika Dubajova: Good morning Helen and Rice. Thanks for taking my question. I'll keep it to two as well please. One, I just want to clarify a little bit the raw material commentary or cost inflation commentary Helen. And I guess just a follow-on on Tom's question just confirm the 120 basis points that you saw in the second quarter is not outside of the usual bound that you would have expected to experience in the business. And I guess maybe if you're willing to comment on what is assumed for the second half within the guide that would be helpful just to push you a little bit more on that? And my second question is trying to follow on from something that was actually set on your parent company conference call, which is I think Stefan made some comments on the expected contribution from FMC to the Fresenius cost savings plan, and just backing out from the comments that he had made it does suggest a fairly low run rate of cost savings from FMC in 2023. I think on my math I get to about $100 million out of the -- up to $0.5 billion that you're targeting. Just trying to understand whether we should be reading something into that as you guys have done more work on SME 25. Is this program really that heavily weighted towards 2024 and 2025, or are we not comparing apples and oranges here? Thanks guys.
Rice Powell: Thanks Veronika. Go ahead Helen. I think you've got one and I'll take two.
Helen Giza: Yeah. Hi, Veronika. Yeah, so just to kind of keep clarifying maybe this raw material commentary. What we saw in the half one is in line with our expectations and the inflationary increases that we had built into our guidance range. You can expect that to continue through half two. I think the watch out for us as I said is if there's anything significant over and above that that we're not seeing coming at this point. Some things have gone up and back down. Some things are still running higher, but I would say the call out year-over-year is not unusual from an inflationary increase. But obviously as we look at the current labor market and also these broader economic increases that are being driven by supply and demand. We're just watching it out and being cautious, but nothing that would take us of our guidance at this point Veronika.
Veronika Dubajova: Thanks Helen.
Rice Powell: Veronika, number two, I would not read too much into that. And what I mean by this is we are not done with our work. And this program is not just cost cutting. It's operational model and looking at the business and how do we want to go forward with the business. And as we've talked with FSC about this they would certainly like more concrete numbers and I'm not giving them to them, because we are not where we want to be right now. So I would just say I understand where they are, but I would tell you when we come to you in the fall, you'll understand where we are, where we're going and how this is going to play out. But just keep in mind it's not a set cost cut. And so I wouldn't run numbers and try to figure out where it is because we're going to tell you where it is when we do this in the fall if you catch my drift.
Veronika Dubajova: Understood. That’s very clear. Thank you guys, and hope you have a good rest of the summer.
Rice Powell: Thanks Veronika.
Operator: The next question comes from the line of Oliver Metzger with Commerzbank. Please go ahead.
Oliver Metzger : Hi. Thanks for taking my questions. The first one is on your reported vaccination level of 71%. So, you made some comments, but for me at first glance, it looks not that high, particularly if you look for the age record. So -- but it's on a global level and I think there are clearly some differences from a regional perspective. So, could you give us an idea of where you are in particular in the US and in EMEA? And yes, that's the first question. The second one is also on the slide there are some metrics, basically patients are down, year-on-year treatments are down, you reported some home dialysis on a record level. But still I see the number of clinics is up by 2%. So, is there anything which I do miss or should I just read stronger utilization from the clinic? Can you give us more color on the relation between these metrics? Thank you very much.
Rice Powell: Sure, Oliver. I'll take those. So at a -- global vaccination rate of 71% find me somebody doing better because I don't think they are. And keep in mind, that's a global rate. So that incorporates places like South Africa where there's very little going on or Indonesia, Vietnam. So, I feel very good about where we are at 71%. And in the midst of as I said in my commentary, a significant hesitancy in certain parts of the US as well as in other markets that people are not getting vaccinated. I think we'll see that reduce. I think it will get better, when these vaccines are FDA approved. I think that will give some subset of this hesitancy population comfort that they're going to go ahead and vaccinate. And I suspect there are going to be some no matter what we do we won't get them there. But the US is at 71%, a little bit higher. If you take those that are not in our system so they're probably 72% to 73%. And I think if you look at EMEA, they are in the high 60s even incorporating those emerging markets where the vaccination rates are very slow or very low which tells you then in many, many parts of Europe they're seeing just as good a vaccination rates as we saw in the US. So, I actually think we're not doing as well as I'd like to. Don't get me wrong Oliver, but I think we're doing pretty well but it could be better and we're working hard on that. On the number of clinics, up 2% that was predominantly driven by Asia Pacific. In the quarter, they were up about 6% in their number of clinics. We had some new clinics in every region as you well know some of these are -- have been -- we've been building and getting them certified and validated over an 18-month period and some of those started a while ago and they're just now coming on board. With the bulk of that 2% growth that we saw really sits in Asia Pacific in the international markets.
Oliver Metzger: Okay. Great. May I quickly ask one follow-up on home dialysis record level. So, could you share with us which part comes from PD which part comes from HHD? 
Rice Powell: Sure. I don't know the specific numbers, but what I will tell you is PD is consistently growing in the mid- to high single-digit single numbers. And then we are still seeing double-digit growth on the home hemo. And again, we had 14.8% of our treatments done at home in the quarter. But we are seeing PD fairly consistently of quarter-to-quarter. And then the HHD has grown faster. In some quarters it's slow sometimes. But in this case, I think we're pretty comfortable with what we're seeing.
Oliver Metzger: Okay, great. Thank you very much.
A – Rice Powell: Thank you, Oliver.
Operator: The next question comes from the line of Michael Jungling with Morgan Stanley. Please go ahead. 
Michael Jungling: Thank you and good afternoon. I have two questions on vaccinations. Firstly, can you comment where you think the vaccination number will end up by the end of this year? And then secondly can you comment on how effective -- or whether you know how effective the vaccinations are within your ESRD patient population? And in essence, I know it's a morbid topic, but do you have a sense of what the survival rate is of patients who get COVID, but have been vaccinated? 
Rice Powell: Sure Michael. Good questions. Well wow for me to speculate on where we could end up? I would hope that it would be a great outcome, if we were at a 90% vaccination rate which would mean it basically is equaling. What we normally see when we do the annual as I call it regular influenza vaccinations that usually runs around 10% hesitancy. So, I would love to see us get another 15% out of this. I think that we will get some pickup, as I said when they get FDA approved I think that will make a difference in the US. I think we're going to continue to see the rates improve in the rest of the world short of some of the parts of the world that are emerging that we just can't get them vaccines. So I do hope that we get better. And then relative to the effectiveness we've actually done study within FMC it's not a huge study. But even with the challenged health status of our dialysis patients, we do see that they are getting -- they're getting protection that we are seeing effectiveness of the vaccines. Now I think what is really the question that I have in my mind and we're talking about it with the medical office is, if you take the Delta variant which we're all watching and everything we read tells us for not vaccinated people it is, 3x more viral than the others which is very concerning. But in the few cases that we are aware of dialysis patients that have been vaccinated twice and they had a breakthrough and the Delta variant is an issue for them. Generally, they have not had nearly the severity of symptom with that. So that's a very small sample size Michael. But so, I would tell you the real magic here is we just got to keep getting the folks vaccinated and hope that we're going to be able to withstand what if anything comes in the Delta variant but that's the way we see it at this point in time. 
Michael Jungling: And maybe I can briefly follow up on this vaccination. Maybe I can ask it the other way. How many -- do you know what proportion of your patients have actually had COVID? COVID-19? 
Rice Powell: Yes I probably can get that data. I don't have it at my fingertips and I don't know if anybody from the medical office on the call wants to shoot me a text I'll come back to you. I don't know that right now but we can easily get that number. It's just not my fingertips Michael. 
Michael Jungling: Okay. Thank you.
Rice Powell: You bet. Thank you.
Operator: The next question comes from the line of James Vane-Tempest with Jefferies. Please go ahead. Mr. Vane Tempest, your line is currently muted. We move on to the next question from the line of David Adlington with JPMorgan. Please go ahead. 
David Adlington: Hi, thanks for taking my questions. Two please. So first sorry to revisit again on the vaccination side. Is there anything else you can do to try and accelerate the uptake? Is it just education or just some stronger levers you could pull? And if it remains at about 25% to sort of 30% unvaccinated rate are you running any math in terms of what that might mean in terms of the evolution of patient mortality from here? And then the second one, is just on the cost evolution. I'm just wondering, how sympathetic your customers/payers are so your customers on the product side and the wider payers on the service side, how sympathetic are they to any sort of price increases from your side?
Rice Powell: Thanks, David. Yes, Helen, I'll take one and two. I'll let you take three if you would please. So relative to vaccination uptake efforts we have particularly -- well globally but certainly in the US we have done a number of things to try to encourage people to vaccinate educational things, videos, where myself and other people have actually been vaccinated in talking about the importance of that. It's a little bit of this situation David that it's overly politicized in the US. So we're going to continue to work hard on trying to continue to see the number go up. At 75%, we have not tried to model, at this point what that could mean for mortality because particularly it's just something that we're going to need a little more time to try to sort our way through. And quite honestly, I'm a lot more focused on let's see if we can get 75% to 90%, which I had said earlier. But those are mathematics that we can run and will consider. We just haven't done it at this point. And then Helen, do you want to talk about products and payers and how they feel about where we are? 
Helen Giza: Yes, for sure. As you can appreciate David, a lot of our pricing is already contracted and the kind of the burden of the increased COVID cost is obviously falling on us. There's not a lot of opportunity to pass this on or get increases. Obviously, last year a lot of those increases were covered from the US government. This year obviously, we are bearing that cost. Some of that you hope will show up in future cost reports and go into the future increases. But where we have contracts with our customers it's been quite challenging and difficult I would say, to pass on any of that cost increase. 
David Adlington: Understood. Thanks, Rice.
Operator: The next question comes from the line of Falko Friedrichs with Deutsche Bank. Please go ahead.
Falko Friedrichs: Thank you. good afternoon. And two questions please. The first one, going back to FME 25. Rice, could you update us on the time lines on when we will get the final details. Is that still with Q3 results, or do you plan to do a Capital Markets Day around it? Any sort of time line here would be helpful. And given that you mentioned you're sort of still working through everything, how focused should the market really be on this €500 million net income savings number. And how sure are you that it will actually be the €500 million, or could there be some variation depending on what you will sign over the next few months? And then my second question is on value-based care. Thanks very much for providing the patient numbers in your prepared remarks. Is there any way you can also provide a very rough revenue number of revenue that is coming out of value-based care and settings and even if it's just a range or a ballpark figure?
Rice Powell: Hey, Falko, thank you for the questions. I will take number one. I think that's kind of an A and B part on the timeline, and the focus on the savings numbers. And then Helen if you want to pick up the value-based care that would be great. So I would do it this way. I would say, fall to me is October, November. And I think you can think about -- if we did a Capital Markets Day, we probably would try to do it sometime in the middle of October. And then obviously we've got the earnings call I think on November 2. So it's a fairly small window within that time frame. And I think we've just got to work our way through where we think it makes most sense and how we want to do that. So it's a pretty short window. So figure October to November and I laid out those possibilities for you. Look, we are focused on the €500 million. We're going at this looking at that and wanting as I said and as we've talked about a one-for-one payback on that over the period of -- the planning period if you will. So we're looking at it from that perspective. We're not -- we didn't tell you €500 million and hope be happy we're going to get €100 million that would be a disaster. So we're going at this as hard as we can looking to deliver what we've talked about, and if we can do more we will, but that's the way we're approaching this. And Helen on the value-based care? 
Helen Giza: Yes. Happy to. Hi, Falko. So as you know, obviously, we stopped reporting the care coordination number separately, because we feel the business is changing and we're moving more into BBC and more towards the capitated model that it doesn't make sense to kind of keep that separate. It's a very much a key part of our dialysis services business. I don’t -- I also don't think that reporting the revenue number is really that meaningful because all the different models have -- the contracts have different models and some have pass-through of costs, some of the shared savings models do not. So I think for us we are -- as we're looking at the operating model work outlined with FME25, we're also looking hard at what that means for our reporting and what KPIs will make sense for BBC moving forward. So I think more to come, but recognizing that we're really going through this big change as this BBC part of our business continues to grow. So I think we'll have more updates as we move on our reporting. 
Falko Friedrichs: Okay. Thank you.
Operator: The next question comes from the line of James Vane-Tempest with Jefferies. Please go ahead.
James Vane-Tempest: Taking my question. Apologies I had some technical difficulties before. So apologies if these have been answered. Just firstly on inflation. It's interesting on slide 15, I think it was how the impact from was more than the offsetting factors for Medicare Advantage. And you do mention how inflection is going to continue in the second half. So is it fair to say that the Medicare Advantage for the year will not be able to offset inflationary pressures? And then my second question on machinations I think you said 71%. Just wondering if you can comment on your patient population in areas which have lower vaccination rates compared to the national average? And then a final quick question, if I can is excess mortality, I think you said it was 406 in June. I know, we're nearly at the end of July. But I'm just wondering what – where we are at the moment? Is it sort of 350-ish or so or sub-300, it would be interesting to know where we are coming into the summer. Thank you so much.
Rice Powell: Thanks, James. No worries about not getting the difficulties our way of life these days. Helen, I'll let you take number one on the inflation in the slide 15, and I'll come back around on vaccination.
Helen Giza: Yeah, happy to. Hi, James, it's good to hear you. The inflation obviously, when we put out the guidance back in February, if you recall I had a slide there that showed a lot of pluses and minuses. And obviously that's what we're tracking, without doubt the kind of the inflationary increases year-over-year were built in. And I think it is an important driver of the change from 2020 to 2021 that we shouldn't forget. And of course, the Medicare Advantage is a kind of a positive offset to that. So I don't think anything untoward, or we want truly were trying to signal anything concerning in slide 15. In fact, it was trying to prove to be more – trying to show to be more helpful to kind of understand those increases. But I think obviously, as I – you may have missed my comments earlier to probably both Tom and Veronika that the – we just want to be cautious, and watch those inflationary increases in the back half. But we have a base increase built in already. And of course, we are happy with the Medicare Advantage performance as an offset to that too. Rice?
Rice Powell: Yes. Thank you. So James, I'm not sure, I understood, what you were asking me relative to vaccinations what we're seeing versus other parts of the world. Can you just run that by me again? I just want to make sure, I get it right.
James Vane-Tempest: Yeah. Sure. So, when you look at where your patients are located say, particularly in the US. I'm just wondering, where the concentration of your patients lie versus where you've seen higher or lower levels of vaccination. So for example, you have more patients in less vaccinated areas than the national average, which would basically be – it might be harder to get to that 90% level, if there's sort of more – and perhaps if you can take that in national as well. Thank you.
Rice Powell: Perfect. Thank you. That's helpful. So if we deal with, the 800-pound gorilla, which is the US. I can tell you that, the issue that we are seeing is in the southern states Mississippi, Alabama, Louisiana, Arkansas, Missouri that is where we are finding the most hesitancy among those people. And so if we're going to appreciably get close to 90% we're going to have to get some of the folks that are in that southeastern US region. There are some far out west Montana, Wyoming, Idaho, but we're going to have to see some number of those folks when these get FDA approval come into the program, if you will. And I suspect, there will be some that won't just based off of political whatever you want to call it ignorance whatever. I think when you look in the rest of world, there is no question that, if you take EMEA, we've got to continue to get more vaccination in developed markets and what I'd say kind of some of the medium emerging markets, but there are some places that – we don't like it, but we don't know that, it's going to get appreciably better such as South Africa, or if you think about India or Vietnam, Indonesia. So we have to get as much as we can from those places that are vaccinating and they have the ability. We have tried to get vaccines into South Africa and some of these other countries and we're working on it, but it's not an easy thing to do. And then on your last question I would tell you that we don't have a read if we were at 406 in June what will be July. I hope the heck it's well south of there. But we'll get a view of those numbers probably around the mid to latter part of August. It takes us somewhere between two weeks to three weeks when we close the month to be able to get those numbers. So we're just not in the right place to do that just yet. 
James Vane-Tempest: Okay. Thanks so much.
Rice Powell: You bet.
Operator: The next question comes from the line of Christoph Gretler with Credit Suisse. Please go ahead.
Christoph Gretler: Thank you, operator. Good afternoon or morning. We are following, nice to speak. I still have one question actually not kind of enough. It's on wage inflation in the US specifically. When I listen to some of the US hospitals now they called out quite some substantial increase in wage inflation they expect. And the year the PPS rate looks a bit backward looking in this respect kind enough. What's your thoughts about that? And how kind of -- how much room do you have to accommodate more wage inflation accelerating wage inflation? Is there any discussion going on in D.C., maybe kind enough to give something extra for this year which still seems to be kind of a very high inflation year specifically? Maybe if you could elaborate on that and not just on general kind of on the labor market situation for dialysis, clinic personnel maybe that would be great. Thank you. 
Rice Powell: Sure. Happy to Chris. Nice to hear from you. So a couple of things I would say. We are looking and we have planned for wage inflation in this year at around 3%. So I think we have some of that covered. I do think that the ESRD population and if you will our clinic staff or nurses, I'm not sure we are a perfect equivalent to what you're seeing in the big hospital systems in the US. I actually think they may be experiencing things a little different than we are. Their rates may be a little higher. But we believe that we have planned accordingly for this. What we have done is as we were in the pandemic, we utilized temporary health to help us get through spots because we've had some employees that had to go out they were all as well. So I think we've gotten through that okay. What I would say to you is yes at a 1.2 PPS drafted number I would have loved to have seen it higher. It was within the range that we thought it could be. I think there are two pieces to the answer to your question. One is that there's still €24 billion in provider relief funds that are sitting in D.C on access. And to the degree that those funds would be available for us relative to PPE and potentially some labor help there that's out there. We continue to talk about that. But D.C. is pretty focused right now on infrastructure but we continue to see if there's a possibility for that. And I think that the overall labor situation in the US, particularly in healthcare, I think that's going to get discussed in D.C. as well and we would certainly weigh in on that. But I think I'm less worried about where we are for the back half of the year and how we plan that, it would certainly be nice to get some PPE help as I've been a broken record on that every quarter. But at this point, we've not had any more active detailed conversations on that. Hopefully that's helpful for you.
Christoph Gretler: Yes. Very good. Thank you. Appreciate the comment and have a great weekend later on.
Rice Powell: You as well.
Operator: There are no further questions at this time. So, I hand back to Dominik for closing comments.
Dominik Heger: Thank you, Emma. Thank you everyone for the lively discussion and for limiting to two questions, that's highly appreciate. I hope you all have a good summer as good as you can have it at the moment. And we hope to have enough time to speak to all of you during the third quarter, and looking forward to speak to you again. Take care.
Rice Powell: Stay safe folks. Enjoy the rest of your summer and your weekend. Take care.
Helen Giza: Bye, everybody. Thank you.
Dominik Heger: Bye-bye.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.